Operator: Ladies and gentlemen, thank you for standing by, and welcome to Vacasa Second Quarter 2021 Earnings Call. [Operator Instructions]. Ryan Domyancic, Investor Relations, you may begin your conference.
Ryan Domyancic: Good afternoon, everyone, and thanks for joining us today for Vacasa's Second Quarter 2022 Earnings Call. I'm pleased to be joined today by CEO, Matt Roberts; and CFO, Jamie Cohen. Before we begin, let me cover a few administrative details. This call contains information that speaks only as of today's live broadcast, and redistribution of this broadcast is prohibited. We have posted a shareholder letter and press release on the IR section of our website at investors.vacasa.com that will be referenced by our speakers. Comments made during this conference call and in our shareholder letter and press release may contain statements that are commonly referred to as forward-looking statements. Such statements include those about future expectations, beliefs, plans, projections, strategies, targets, estimates, objectives, events, conditions, and financial performance. We caution you that various factors could cause actual results to differ materially from those anticipated. For additional information concerning these risks and uncertainties, please read the forward-looking statements section in the press release and shareholder letter we issued earlier today and the forward-looking statements and Risk Factors section in our filings with the SEC. During this call, we will discuss certain non-GAAP financial measures. Information regarding our non-GAAP financial measures and results, including a reconciliation of non-GAAP results to the most directly comparable GAAP financial measures, may be found in our press release and shareholder letter. These non-GAAP measures should be considered in addition to our GAAP results and are not intended to be a substitute for our GAAP results. And now I'd like to hand the call over to Matt Roberts. Matt?
Matthew Roberts: Good afternoon, everyone, and thank you for joining us. We are pleased with our record second quarter performance as both revenue and adjusted EBITDA exceeded the high end of our guidance ranges. Also, the strong traveler demand we experienced in the first half of the year has continued to date. Like all of you, we've been paying close attention to the macroeconomic environment over the past few months to understand how any changes could impact our business. Our strong second quarter results and our future bookings to date demonstrate that consumers are still prioritizing our travel offerings. On the cost side, inflationary pressures had no discernible impact on our business during the second quarter. We believe one of the many benefits of our business model is it provides financial flexibility during periods of economic uncertainty. Our business model generates revenue by taking a commission on the rental income earned by our homeowners and collecting fees from guests. It doesn't rely on leasing vacation homes. We gained our supply of vacation home availability by performing a valuable service to our homeowners. Our value proposition is focused on marketing vacation homes, striving to optimize rental income, and servicing reservations while our homeowners enjoy the benefits of owning the vacation home and earning rental income to help offset the cost of ownership. This asset-light business model allows us to flex our primary operating cost on a variable cost basis with demand. Our focus on vacation home rentals within the broader category of travel is also beneficial during an economic downturn. A recent industry survey found that nearly 40% of travelers that stayed in the short-term rental chose to because it offered a better value than other accommodation options. We also look closely at several of our largest markets and found that vacation homes on our platform remain less expensive than hotels on a per bedroom basis. Additionally, vacation home guests have the option of eating in versus dining out or even sharing homes with friends, both of which can significantly lower overall travel costs. Finally, we have a diversified national footprint, managing homes in more than 400 destinations, providing travelers drive to and destinations. Within these markets, we offer a broad set of inventory, ranging from a six-bedroom condo to a six-bedroom home helping meet more travelers' budgets and needs. To date, travel demand and our business have been resilient against an uncertain economic backdrop. We believe we are well positioned given our focus on the vacation home vertical, diverse selection of markets, asset-light business model, variable cost structure, and positive operating cash flow over the last 12 months. Now let's review some of the progress we made during the past few months before I turn the call over to Jamie to review our financial results and guidance. We extended our position as North America's leading vacation rental management platform in the second quarter by welcoming thousands of new homeowners to Vacasa. We believe that our technology focus creates a truly differentiated value proposition for homeowners, making us the vacation rental manager of choice in the markets we operate. We aim to generate homeowners more rental income than peers through our advanced yield optimization, which combines broad listing distribution with our proprietary dynamic pricing engine. The listing for every home we manage is distributed across Airbnb, Booking.com, and Vrbo plus more than 100 other channels to maximize visibility and, in turn, guest demand. We also leverage internally developed dynamic pricing algorithms that analyze both internal and external data sets in real-time to determine a customized price for each individual home for a given night. We made substantial progress on home additions during the second quarter and remain on track to increase our homes under management by about 30% during 2022. Our individual approach, which is a direct sales model where predominantly local sales representatives sign up individual homeowners, continues to account for the majority of our home additions. The economics of the individual approach remains strong with the lifetime value to customer acquisition cost remaining above our target range of 4x to 5x on a trailing 12-month basis. Similar to prior quarters, our CAC has remained stable, which combined with stronger lifetime value lands us above our target range. We continue to add sales executives throughout the quarter, reaching the targeted sales force size for 2022 that we set out at the beginning of the year. In the second half of 2022, we intend to maintain its current size, back filling with additional hires as needed. On the portfolio approach, we were active in the second quarter, bringing on 16 portfolios. The portfolio program by its nature, tends to fluctuate on a quarter-to-quarter basis. In the second quarter, while maintaining our disciplined approach to evaluating portfolios, we came across a number of opportunities that fit squarely into our framework. We look for portfolios that either open new markets, add scale to thin markets to build density or unlock differentiated high-quality inventory. For example, there's a market in the Florida Panhandle with more than 1,000 vacation rental homes. The two leading vacation rental property management companies in the market are both locally owned and each has had a presence there for about 50 years. Being a relatively smaller market with a couple of large tenured operators, it is more difficult for Vacasa to establish a meaningful presence quickly through the individual approach. When one of the two leading portfolios in this Florida market became available as the owners approach retirement age, we were able to add that 250-plus unit portfolio and immediately establish a market-leading position. We also extended job offers to each and every one of their 50 employees that have deep local knowledge and that the homeowners have come to know and trust. From a growth perspective, this portfolio addition also unlocks a new market for the individual sales effort, which will be led by a local employee that we retained from the prior company and supported by the broader Vacasa platform. The situation I just described encapsulates the strategic nature of our portfolio programs. We deploy it in a disciplined fashion with our targets and valuation framework informed by our prior experience executing this playbook more than 200 times. The portfolio program is a very powerful strategy that allows us to enter new markets profitably and importantly, unlock substantial opportunity for our individual approach. Finally, I want to spend some time covering recent updates to our technology platform, a linchpin of our business, which helps improve the vacation rental experience for guests and homeowners, drives efficiencies in our local market operations, and enables us to scale. In addition to the internally developed purpose-built products we've introduced, such as our pricing algorithms, the homeowner app, and the clean inspection tool, just to name a few, we've also implemented a number of enterprise-grade systems over the past six months. These systems complement and integrate with our internally built tools and are used for more general functions that many growing businesses require like telephony and sales as opposed to our proprietary tools that are specific to our industry and business. Importantly, these tools can support immense scale and our long-term ambitions of managing hundreds of thousands of vacation homes and facilitating tens of millions of nights sold on an annual basis. The individual approach of adding new homes to our platform is crucial to our long-term success. In addition to increasing the number of sales representatives over the past year, we also launched a new customer relationship management tool in the second quarter. The new CRM system allows us to collect more data at every point during the sales process from how a lead enters our funnel to signing the contract and eventually will help streamline home on boarding. Our sales leadership team can now analyze this newly collected data to identify what is working and different pain points. From there, they can turn those insights into actions to further refine trading and sales tactics, ultimately making our sales representatives more effective. While we don't expect an immediate step function change in productivity, our sales leaders now have greater insight into the sales force, enabling those leaders to manage the team effectively as it scales in the years ahead. We've also implemented a new communication platform that improves our ability to interact with guests and owners while streamlining our operations. We've customized the platform to tie directly in with our vacation rental management system, which houses all the information about reservations and owners. This enables our owner and guest experience teams to work in a single environment with the right information displayed at the right time. It also allows us to funnel multiple communication sources such as a phone call, SMS message, or a message received through a channel partner to one location. With the new system in place, we've been able to offer guests and homeowners more ways to communicate with our support teams and resolve their questions more quickly, which has resulted in operational efficiencies. Our deep technology experience and overall scale allow us to invest in these leading technologies, which in turn supports our ability to provide superior customer service and continue to efficiently add homes to our platform. In closing, our business is well positioned from an industry business model and capital perspective. I'm confident the team can continue to execute across all facets of our business, positioning us well for continued growth against the market opportunity of more than 5 million vacation homes in the United States. Now I'll turn the call over to Jamie to review our second quarter results and guidance in detail. Jamie?
Jamie Cohen: Thanks, Matt. As we review our financial results, unless noted otherwise, I will be comparing our second quarter results to the second quarter of 2021, and I'll be referencing the operating expense line, excluding the impact of stock-based compensation and business combination costs, which you can find outlined in both our press release and shareholder letter. Also, recall that we completed our strategic acquisition of Turnkey Vacation Rentals on April 1, 2021, which does affect the year-over-year growth rates of our key business metrics and revenue relative to the first quarter. Gross booking value, which is the combination of nights sold and gross booking value per night sold reached [Technical Difficulty] in the second quarter, up 32% year-over-year. Nights sold reached $1.6 million in the second quarter, up 17% year-over-year, with the increase primarily driven by the addition of new properties to the platform. Gross booking value per night sold reached $411 in the second quarter, up 13% year-over-year. Remember, there is a strong relationship between these two metrics, and it's difficult to look at either in isolation. Our proprietary pricing algorithms are constantly evaluating the trade-off between price and occupancy to optimize the mix of nights sold and gross booking value per night sold with the goal of maximizing homeware income. Revenue, which consists primarily of our commission on the rents we generate for homeowners and the fees we collect from guests was $310 million in the second quarter, up 31% year-over-year and above our guidance range of $280 million to $290 million, driven by strong guest demand. Now turning to our expenses. Cost of revenue was 49% of revenue in the second quarter, with slight year-over-year operating leverage due to the growth of gross booking value. Operations and support expenses grew 25% year-over-year and decreased as a percentage of revenue sequentially as we leverage the fixed portion of operations and support expenses in our seasonally stronger second quarter. Technology and development expenses were up 38% year-over-year as we've grown our engineering and product teams and software infrastructure. On a sequential basis, technology and development expenses were nearly unchanged. Sales and marketing expenses were up 58% year-over-year, with the increase due to our significantly larger sales force compared to a year ago and, in turn, greater homeowner-focused advertising spend to drive more leads for our larger sales force. Sales and marketing expense is also higher due to the higher fees paid to distribution partners, driven by the growth of gross booking value. General and administrative expenses were up 61% year-over-year, largely due to hiring to support the increasing scale of our business. We also had higher costs in the second quarter relative to last year now that we are publicly traded. On a sequential basis, general and administrative expenses increased by $6 million, and the bulk of that due to nonrecurring items, including higher professional service fees. Adjusted EBITDA was connected $2 million for the second quarter, ahead of our guidance range of negative $20 million to negative $15 million. The majority of the upside relative to guidance was due to stronger-than-expected gross booking value. In the second quarter, we on boarded 16 portfolios for a total consideration of $74 million. In aggregate, the portfolio we on boarded in the second quarter tended to be higher performing on a revenue basis, resulting in a higher purchase price per unit, but the average multiple paid was in line with our valuation target. Model units are created equally, and our focus remains on evaluating the resulting revenue and profitability that a portfolio contributes relative to its cost. Given we found substantial opportunities to deploy our planned 2022 spend through the first two quarters of the year, I would expect less spend on new portfolios in the second half of 2022 relative to the first half. So our operating cash flow in a given quarter has some variability due to the seasonal nature of our business, we have generated positive operating cash flow on the last 12-month basis for six consecutive quarters. For the 12 months ending June 30, 2022, our operating cash flow was $110 million, and we had capital expenditures of $18 million. We believe that we remain well capitalized and fully funded with $759 million of cash, cash equivalents, and restricted cash. We also have $102 million of borrowing capacity under our $105 million revolver, with a $3 million difference due to outstanding letters of credit. We believe that our consistent ability to generate sustained positive operating cash flow, minimal capital expenditure requirements and current cash balances allow us to execute on the growth opportunities ahead of us. Now turning to guidance. We expect third-quarter revenue to be in the range of $385 million to $395 million and are raising our full-year revenue guidance to a range of $1.165 billion to $1.185 billion. July has historically been our seasonally strongest month of the year and has accounted for 40% to 50% of third quarter gross booking value and revenue. We also have a high percentage of our expected August booking confirmed at this point, which is our second strongest month of the year. With July complete and high visibility into August, we are confident in our third quarter guidance. And while we have less visibility into the fourth quarter, given it's only August, we are currently pacing well against our expectations. Our fiscal year guidance assumes that for the second half of 2022, the combination of gross booking value per night sold and nights sold takes a slight step back from the record levels reached in 2021, but remains meaningfully above pre-pandemic levels. We expect third-quarter adjusted EBITDA to be in the range of $55 million to $60 million and are raising our full-year adjusted EBITDA guidance to a range of negative $7 million to break even. We understand the importance of reaching adjusted EBITDA profitability, especially given the broader macroeconomic environment and increased investor focus on balancing growth and profitability. So rather than reinvesting our second quarter adjusted EBITDA out performance to accelerate various discretionary investments, as we have done in the past, we are instead of letting that flow through and are raising our adjusted EBITDA guidance for the full year. The midpoint of our full year 2022 adjusted EBITDA guidance is now negative $4 million, which is nearly $40 million higher than the negative $42 million we outlined in our initial projections back in July 2021. We are also reiterating our guidance of reaching adjusted EBITDA profitability for full year 2023. We're incredibly proud of the progress the entire team has made over the past year. And with that, Matt and I will take your questions. Operator, please open up the lines.
Operator: [Operator Instructions]. Your first question comes from Doug Anmuth with JPMorgan.
Douglas Anmuth: Matt, I know you said the macros had no discernible impact on the business in 2Q. But just I was hoping you could talk a little bit more about how you think property owners would behave in a tougher macro environment? And are you seeing anything to suggest that they're more open to renting out the property or they're looking to fill more room nights or anything like that?
Matthew Roberts: Yes. Good question. It's definitely logical to think we'd see a benefit in terms of new homes coming on to the platform and owners that are already on the platform, opening up more availability, as you mentioned. There are definitely always different motivations for homeowners to rent out their homes and a softer environment is just another reason. To date, we haven't seen like a big meaningful benefit show up yet in the individual approach, but we agree that it could be a tailwind.
Douglas Anmuth: Okay, and anything -- I know it's not a big percentage of the business, but any shifts around just kind of longer-term extended type of space? Again, I know it's not a big piece.
Matthew Roberts: Yes. No major change in terms of the percentage as we talked about, that's on. It's pretty small percentage today. We continue to invest in the things we talked about in our last quarterly call to set up the business to achieve available -- a larger percentage of availability for an extended stay. There's a lot of complexity associated with that, which we walked through. We're making good progress on that. nothing major to update you on.
Operator: Your next question comes from the line of Bernard McTernan with Needham & Company.
Bernard McTernan: It might be helpful if you can just talk to your visibility into portfolio additions. Maybe go through the process, how leads come into the process, the time line, and the process of converting them into actual supply?
Matthew Roberts: Sure. Well, we had a great quarter in terms of adding 16 portfolios, some great ones, too, that fit squarely into our overall strategy for that playbook of growth. We actually have a team, a full team of dedicated corporate development and business development managers. But we run it very much like a sales process, if you will, but it's more relationship based. So there is a pipeline of different portfolios that would fit our strategic rationale, and we build relationships with those owners. It's a bit lumpy because the individual owners or operators are really at different stages of what their interest is in terms of selling the businesses. So it can be lumpy, but the main thing is we've done it over 200 times, we run a consistent approach. We built those relationships over time such that when folks are interested, we are a logical choice. We make more money for their homeowners. We also provide employment opportunities for their team. So we're a great fit for somebody that's looking for an exit from their business for the example , the folks who were retiring. So that's the general approach we run it very much like a sales pipeline, if you will, but it's much more relationship and long-term focused than maybe the individual approach would be.
Bernard McTernan: Understood. And a follow-up on the technology to mention CRM and messaging and other tech. Are these pieces of technology that you guys are building yourself or you licensing them from a third party? And any color on why? Yes. So there -- the CRM system is Salesforce. The communications platform is Twilio -- and both of those are enterprise-grade, very respected best-in-class solutions that many companies have chosen to use -- well, actually, I'd say many larger companies have chosen to use. The nice thing about our ability to -- our scale and capital resources that we can invest in these enterprise-grade systems that give functionality that many companies need versus the items that we build ourselves that are very specific and proprietary to our vertical and Vacation Rentals and building the platform. It's really the integration of those into our proprietary systems as the sum of the parts really creates the best overall platform in the industry, and we are able to invest millions of dollars in these solutions, but we don't have to build everything. We can buy where it makes sense in buying best-of-class solutions like Salesforce and Twilio and tying them into our proprietary tools and technologies in our vacation rental management system. That's where the platform becomes incredible and also can scale to our ambitions, hundreds of thousands of homes, tens of millions of nights sold the year.
Operator: Your next question comes from the line of Eric Sheridan with Goldman Sachs.
Eric Sheridan: Maybe looking across the industry, is there anything to call out in terms of the way some of your listings are acting across different transaction platforms, Airbnb and the two OTAs? And any update on how you're thinking about broader marketing channels and amplifying ROI from listings.
Matthew Roberts: No. I mean each of the channels has their own different demographic relative to their user bases. And so we will make sure that we tailor the listings, the content, the copy, pictures, et cetera, to do the best that we can to optimize conversion for our homeowners. We actually actively manage that down to basis points of conversion improvement by channel and have the ability to direct APIs to do all of that hard work. I don't think that I would call out anything discernible between them that just publicly to call out. But what I would say is that the overall opportunity for us to continue to refine and to get the most conversion is still there. We're not anywhere close to done in terms of the ability for us to do that optimization of listings, and that's what we do on a daily basis. Was there a second part that I missed?
Eric Sheridan: Just curious in terms of those optimization efforts, what do you see as the most sort of compelling actions you want to lean into to sort of increase optimization?
Matthew Roberts: Well, it's the things that I mentioned, and it's interesting because it's -- there's not an individual large gap that we're trying to fill right now. Our performance is great across each of the channels. So it's really grinding out those basis points improvement on a day-in and day-out basis is where we get the opportunity.
Operator: Your next question comes from the line of Mike Grondahl with Northland Securities.
Unidentified Analyst: This is [indiscernible] on for Mike. Roughly, how many sales reps do you have today? And secondly, how is their productivity ramping as they mature in terms of your prior expectations?
Matthew Roberts: Yes. So the absolute -- we added -- we had a great quarter for adding sales reps because we reached our number -- our target -- our planned target number for the year in the second quarter, which we had planned to do. We had planned to front-load our additions for the year and get to our target number by the end of June, and we were successful in doing that. We added net double-digit sales reps in the quarter. So the real focus for us in the back half of the year is maintaining the size of that. Of course, we'll continue to be adding sales reps, but between back filling performance management, et cetera, on the net basis, we're roughly staying in this size. As far as the focus for us is really about getting that productivity improvement because that, coupled with the size of the sales force is really what gives you the overall compounded lift to the individual approach. And that's where the new CRM system that we just implemented and that we'll have a lot of enhancement opportunities for us going forward comes in. And then just the tenure, we headed a lot of salespeople over the last year and newer sales reps are not as productive as tenure sales reps. So there's just a natural productivity enhancement that you'll get as people mature in a .
Unidentified Analyst: Got it. And then are there any specific locations or regions that you'd like to call out that are outperforming?
Matthew Roberts: No, we don't provide really regional data. It's more obviously on a national footprint or in international really at a company level perspective. Obviously, we have all the data down to the ZIP code and the city block, but there's nothing that I would call out on a regional basis.
Operator: [Operator Instructions]. Your next question comes from Jed Kelly with Oppenheimer.
Jed Kelly: Two if I may. Just going back to your sales force. And Matt, I know you know you've had a lot of experience building out sales force teams. Just do you -- have you figured out like what happens when you sort of lose the property to another large manager? And sort of -- what's some of the strategies around improving your sales force productivity to kind of gain more share in? And then my second question is, I appreciate you guys reiterating your guidance for EBITDA positive next year. But can you talk about [Technical Difficulty] EBITDA positive if we do see a slowdown and say potentially '23, there is a compression around RevPAR?
Matthew Roberts: Sure. Well, why don't I take the first one, and I'll let Jamie handle the second one? There's a number of things that are pretty basic sales team development that our team is executing against incredibly well. In terms of training, we've had to on board a number of -- quite a few new sales reps. So it's starting with just getting those reps comfortable with communicating our value proposition to prospective homeowners. And then you get to the refinement of the sales process, and that is where this data from Salesforce is really going to come in handy to help our sales leadership team develop even more precise role-playing, et cetera, objection handling, et cetera. Specific tactics that we're taking, we're not necessarily interested in sharing -- but sharing those broadly because we're still in a competitive industry, but I'm incredibly proud of the sales leadership team and the progress that they've made over the last 12 months, really six months in particular, to really boost the understanding of our sales team on how to sell a value proposition in a very compelling way. As far as '23 and just in general, how we handle a downturn, why don't I turn that over to Jamie?
Jamie Cohen: Sure. So first of all, we haven't seen any downturn in traveler demand. We've seen a lot of strength that's given us the ability to realize the homes on our platform at a higher rate, which has driven better gross booking value and higher gross booking value per night sold. I'd also just reiterate, we feel really good about our third quarter guidance, our back half guidance. We mentioned July 40% to 50% of the third quarter revenue in gross booking value, which is now in our rear view year. And August is the second largest month of the quarter and the year, which we also have great line of sight into. So feeling really good about the back half and the visibility that we do have into the fourth quarter, even though that's a bit further off. 2023, it's a bit tough to make comments at this point. But we -- there's nothing concerning with the limited information that we have. In terms of the demand environment, obviously, a bit out of our control, but we are confident we can manage the business to meet that guidance of positive adjusted EBITDA. A couple of things, from a macro perspective, we think the alternative accommodations category is really well positioned. We know 40% of travelers say they choose vacation rentals over hotels because of the value, not to mention that they can dine-in instead of dine-out, share homes with friends and really make it a bit more cost-effective. From a homeowner acquisition perspective, Matt touched on this a little bit, but potentially gets a little bit easier as homeowners might need us a little bit more, free up a bit more availability or you might see some churn reduction just given homeowners need income and there might be fewer sales of real estate. In terms of the business model, specifically, one, we don't commit capital in order to earn revenue. Our business model is to earn a commission on the rental revenue we generate for our owners and collect fees from guests. So our model is not to lease the homes from owners. And then second is our cost structure, where 70% of our expenses are cost of revenue and operations and support, which are largely variable on consumer demand. And then the rest, we have discretionary investments in sales and technology that we can choose to what degree that we're accelerating or leading into those or not. So really strong business model with levers at our disposal. So we're positioned really well. And I'd also just remind you, we've had positive trailing 12-month operating cash flow for the last six quarters and -- which means all of the portfolio spend that we do is discretionary. So that's another lever that we have at our disposal depending on the overall environment. So I really feel strong that the business is resilient given the structure that we have, and we'll see what happens from an overall environment perspective, but feeling really good and seeing great trends right now.
Operator: There are no further questions. I'd like to turn the call back to CEO, Matt Roberts for closing remarks.
Matthew Roberts: Well, thank you all for joining us today. And I just wanted to thank our team out in the field and in our offices that are making these type of results possible day in and day out. And again, to our homeowners for entrusting us with their homes and with the income generation that they seek. So thanks, everybody. Look forward to catching up with you again next quarter.
Operator: This concludes today's conference call. You may now disconnect.